Operator: Welcome to the Anavex Life Sciences Fiscal 2019 Third Quarter Financial Results Conference Call. As a reminder, this conference call is being recorded.I will now like to introduce your host for today’s conference, Clint Tomlinson. Please go ahead.
Clint Tomlinson: Thank you, and good afternoon, everyone. We appreciate you joining us today for Anavex Life Sciences conference call and webcast. Our agenda is to review the company’s financial results for the third quarter of fiscal 2019 and provide a clinical study update. A taped replay of this call will be available approximately 2 hours after the call’s conclusion and will remain available for one month. The call will also be available for replay on Anavex’ website www.anavex.com.With us today is Dr. Christopher Missling, President and Chief Executive Officer; and Sandra Boenisch, Principal Financial Officer. Dr. Missling and Ms. Boenisch will make prepared remarks, and then we will take questions from equity analysts.Before we begin, please note that during this conference call, the company will make some projections and forward-looking statements regarding future events. We encourage you to review the company’s filings with the SEC. This includes, without limitation, the company’s Forms 10-K and 10-Q, which identify the specific factors that may cause actual results or events to differ materially from those described in these forward-looking statements. These factors may include, without limitation, risks inherent in development and/or commercialization of potential products, uncertainty in the results of clinical trials or regulatory approvals, need and ability to obtain future capital and maintenance of intellectual property rights.And with that, I would like to turn the call over to Dr. Missling.
Christopher Missling: Thank you. I’d like to thank everyone for joining us on today’s conference call to review our fiscal 2019 third quarter financial results and share with you our clinical updates for ANAVEX 2-73 or also called blarcamesine, a nonproprietary name adopted by the United States Adopted Names Council, USAN. First, we have very pleased to report that enrollment for the U.S. Phase 2 Rett syndrome study and the AVATAR Rett syndrome study of blarcamesine are advancing with high priority. The independent data safety monitoring board for the U.S. Phase 2 Rett syndrome study of blarcamesine completed it’s recent preplanned review of the preliminary Phase 2 efficacy and safety data.Upon review of the most recent data, the DSMB made the recommendation to continue the study without modification, which is very good news. We are also very pleased that the Phase 2 blarcamesine Parkinson’s disease dementia study is proceeding well and we are getting close to achieving full enrollment. Further at the request of investigators, in order to offer all participants of the clinical study access to blarcamesine, a voluntary extension of this study is in preparation including microbiome assessment. Enrollment for the Phase 2b/3 blarcamesine Alzheimer’s disease study is also continuing at it’s planned pace with over 15 active recruiting clinical centers to date.Furthermore at the request of investigators in order to offer all participants of the clinical study access to blarcamesine, a voluntary extension of this study is planned. Lastly, a recent third-party peer reviewed scientific publication titled Neuronal Sigma-1 Receptor signaling functions and protective roles in neurodegenerative diseases, details the mechanism of action of sigma-1 receptor, S1R and references ANAVEX 2-73 among the relevant sigma-1 receptor ligands.The paper summarizes, in conclusion, sigma-1 receptor is incredibly versatile in its ability to foster neuronal homeostasis in the context of several neurodegenerative disorders. We believe that this comment is a confirmation that Anavex is on the right track pursuing this very promising therapeutic approach for targeting patients with devastating rare diseases as well as the largest unmet medical need of aging population, which is Alzheimer’s disease and Parkinson’s disease.And now I would like to direct the call to Sandra Boenisch, Principal Financial Officer of Anavex for a brief financial summary of the recent reported quarter.
Sandra Boenisch: Thank you, Christopher, and good afternoon, everyone. During the third quarter of fiscal 2019 operating expenses were $7.1 million, compared to $4.6 million for the comparable quarter in fiscal 2018. The increase in operating expenses is attributable to higher research and development expenses compared to the same period last year.Research and development expenses for the quarter were $5.8 million, up from the $3.0 million reported in the third quarter of fiscal 2018. The increase in research and development expenses is a result of expenses incurred in connection with the advancement of clinical studies for blarcamesine. The net loss for the quarter was $7.1 million or $0.14 per share as compared to $2.8 million or $0.06 per share in the comparative quarter of fiscal 2018.Our cash resources at June 30, 2019 were $21.2 million. Subsequent to June 30, we received $1.6 million in research and development incentive income in cash from the Australian authorities. We believe that we have sufficient cash resources and support from third-parties to fund our objectives and our ongoing clinical trials for an excess of two years.With that, I thank you and I will turn the call back to Christopher.
Christopher Missling: Thank you, Sandra. In summary, we continue to be actively focused on execution of the ongoing clinical studies for blarcamesine and we’re very pleased with the pace at which these studies are advancing. We look forward to providing further updates as advancements continue.I would like now to open the call for questions. Operator, please go ahead.
Operator: At this time, we will be conducting a question-and-answer session for equity analyst. [Operator Instructions] Our first question comes from Yun Zhong from Janney Capital.
Yun Zhong: Hi. Thank you for taking the questions. So the first question is, was there any specific reason that triggered the DSMB data review, for example, a certain percentage of patient enrollments?
Christopher Missling: Yes, there was a cohort, which we had included in a intensive PK, where the PK was measured very often, regularly, and the patient had to stay overnight. And that was accomplished and that triggered that review. And in that review was efficacy measures of this cause as well as safety measures.
Yun Zhong: Okay. To confirm, so the review was done only in that intensive PK cohort or in all patients enrolled so far in the study?
Christopher Missling: Which was all enrolled patients, it was equivalent. It was the first enrolled patients of this study.
Yun Zhong: Okay. And then, the next question is, looking at the two Phase 2 studies in Rett syndrome, the design seems to be almost identical. But apparently the U.S. study is well ahead of the Australian study. So I wonder, will the outcome from the U.S. study have any impact on your decision, whether it should continue or discontinue with the Australian study. And if you choose to continue both studies through completion, do you have an option to maybe combine the two study to maybe a more comprehensive analysis?
Christopher Missling: Yes, that’s a good question. So the U.S. study had an initial intensive PK part, which was just mentioned. And ultimately these two studies are looking very similar and they are very similar for that reason. And there will be certainly, no consequences of one or the other to change this study. But after the DSMB bought positive review, there is now also no reason to change anything in the AVATAR study, so that will proceed as it’s intended.
Yun Zhong: Okay. And the last question, can you remind us if you are getting any external funding support for the AVATAR study?
Christopher Missling: The AVATAR study is funded by Anavex and we are getting funding from the Australian government.
Yun Zhong: Okay. Thank you for taking the question.
Christopher Missling: Thank you.
Operator: The next question comes from Raghuram Selvaraju from H.C. Wainwright. Please go ahead.
Edward Marks: Good afternoon. This is Edward Marks on for Ram. I appreciate you taking the questions. Just looking at the Rett syndrome studies, I’m wondering if you provide a little more granularity on the percentage of patients that have completed so far and how many are moving into that open-label extension?
Christopher Missling: So we have reported in the last previous quarter that 40% had been already enrolled and that number has only now increased. We will make not a specific announcement, what this is today because we will then announce when the enrollment will be completed. And the first patient was put or volunteered to go into the extension study, which is offered. And the extension study consists of a open-label 12 week continuation to stay on study track. And we expect that this extension study will be extended further as we also have done it in our previous clinical studies. So we expect that to be not time limited the extension study.
Edward Marks: Okay. And when might data from the double-blinded portion to be reported. And then when we look at some of the efficacy parameters being assessed, which do you think are most likely to show the change over a seven week period? And just wondering if these are also being assessed in the AVATAR trial?
Christopher Missling: They are exactly the same in the AVATAR trial. The endpoints are exactly the same, both secondary as well as the primary efficacy as well as biomarker measures. And we have seen a very significant effect in animal models on the motor impairment and we’ve seen a very significant effect on the drug in the cognition and in the behavioral part of the Phase 2a Alzheimer’s study. So we have the expectation that if the animal study data is also translating into the human data that we should see in all those measures, a signal in the clinical study in Rett syndrome patients.
Edward Marks: Moving onto the Parkinson’s dementia study. I was hoping you could provide a little more information on what the enrollment status might be for that trial as well. And then after it’s fully enrolled, when might the top line data become available?
Christopher Missling: The expectation is that we are – that we have the study completed very soon. We are almost there and it’s a great accomplishment by the team. And we know that the study has a 14 week treatment duration. So if we are able to complete the study, that will then needed to be added this 14 week in order then to have the data locked and then subsequently becoming – possibly available in a press release, the top line data.
Edward Marks: Excellent. And then my final question, just as a follow-up to a previous question that was asked. Just wondering if there are going to be anymore DSMB interim reviews or whether this was the single one that was expected.
Christopher Missling: In the Rett study?
Edward Marks: Yes.
Christopher Missling: The DSMB is an independent board. The DSMB can make it any junction at any point make a request for reviewing data. So we will not know that. So that is the correct answer to this question.
Edward Marks: Okay. That makes sense. All right, well, I appreciate you taking all the questions. Thank you.
Operator: We have a question from Jason Kolbert from Dawson James.
Clayton Berger: Yes. Hi, this is a Clayton Berger on behalf of Jason Kolbert. I just have a quick question about the AD study and if you think that primary completion date, it still set to be around December of 2020? And then based on the results, do you believe that there is need conducted second Phase 3 trial?
Christopher Missling: I couldn’t answer. I couldn’t hear the question very well. Do you mind repeating? It was hard to hear.
Clayton Berger: Yes. Sorry about that. So for the Alzheimer’s study, do you think the primary completion date still stands at December of 2020? And then do you believe that you will need to conduct a second Phase 3 trial for FDA approval on the Alzheimer’s study?
Christopher Missling: So the expected date is provided in ClinicalTrials.gov and I think that’s what you’re referring to. That’s all the estimate which, we don’t provide or confirm. It is point in time. But obviously, we want to finish a study as soon as possible. As I mentioned today in all our studies, they all are with the aim of before or done undertaking to finish it as soon as possible. But the question is, so we will provide an update on the timing when we have more granularity on the overall continuous enrollment, which is very good so far. So I would basically not provide a comment on the timing of the end of that study yet. Regarding the question of if a second study is needed. That’s also a question I would defer to once we are able to share the data with the FDA, with the agency and that determination is done by the agency. So it’s not something which we can anticipate at this point.
Clayton Berger: Okay. Thank you so much for answering my question.
Operator: We have Yun Zhong from Janney Capital on line with a question. Please go ahead.
Yun Zhong: Yes. Thank you for taking the follow up question. So the question is on Microbiota and very interesting data presented from the Alzheimer’s patient population and now that you are going to look at Parkinson’s patient population and I just curious on, do you know the level of similarity between Alzheimer’s disease and the Parkinson’s disease in terms of Microbiota and their reaction to potential efficacious treatment?
Christopher Missling: Yes, and it’s a good question. So we presented data in July last month at AAIC that the ANAVEX 2-73 blarcamesine was associated with a higher level of gut microbiota diversity in certain microbiota families, which is a good thing. There is knowledge out there that in several studies, that healthy volunteers have a higher diversity of gut microbiota in the gut than Alzheimer’s patients as well as Parkinson’s patients. So that led us to the idea of now including that intelligence, that knowledge about this is another piece of information to check on the effect of ANAVEX 2-73 blarcamesine that when we switched the patient from the PDD study from the Parkinson’s dementia study into the open label extension that we can then monitor the before and after of the gut microbiota of the patients who are on the placebo arm and then getting the drug as well as on the patients who are already on the drug and continues to stay on the drug.And that allows differential analysis of the potential effect of the compound of the drug on the gut microbiota. And since in Parkinson, this applies as well as in Alzheimer and the Alzheimer study will take long until it’s finished because it’s longer. It’s 48-week and the Parkinson’s disease dementia study is 14-week shorter. We can make this – use of this new information of biomarker information in the Parkinson’s disease dementia study in for the first time sooner than in the Alzheimer study. We might consider doing that also then if it’s appropriate for the Alzheimer study at a later stage.
Yun Zhong: Okay, great. Thank you for adding information.
Christopher Missling: You’re welcome.
Operator: We’ve received a question from Anna Vorobyeva from ROTH Capital. Please go ahead. Anna, your line is open. We will move to the next question comes from Tom Bishop from BI Research.
Tom Bishop: Hello there. Along that microbiota data thing that we were just talking about, is this basically the idea that A 2-73 would itself might improve the bacteria concentration? Or that down the road you might consider using, say, fecal transplants or something to increase those bacteria that seem to be favorable?
Christopher Missling: So from the data we have seen, we believe, and we have to confirm that because the clinical study was measuring only at one point in time, the gut microbiota levels that the compound at ANAVEX 2-73/blarcamesine is able to correlate with an improvement. And those patients also had a higher diversity in the gut. So we will find out exactly that if that is triggered lot by the drug and the expectation is that it is. And we think that the concept of homeostasis might be not limited through a effect in the brain or in the central nervous system of ANAVEX 2-73 or blarcamesine. But it might also trickled down into the entire body’s homeostasis beneficial system, so that would be then the signal of better gut microbiota diversity, which is preferred over lower level of diversity.
Tom Bishop: Well, I’ll be interesting to see how that comes out. So on the Rett study, I just wanted to be clear, the 6 set were analyzed by the DSMB for safety and efficacy. That was part of the 15 or a separate cohort that preceded them the 15?
Christopher Missling: That was a cohort which will be – which was part of it and will be – will proceed at the 15 patients.
Tom Bishop: So you’re analyzing actually 21 now or?
Christopher Missling: That’s exactly right. The total number in the Rett syndrome study is 15 plus 6 is 21.
Tom Bishop: Okay. Is there was one part of the press release that I had a little trouble with and now I don’t see it. Okay. Let me ask you something else. This name for blarcamesine, you said, this was determined by an unrelated entity. I don’t understand that. The company doesn’t get to pick the name of their drug.
Christopher Missling: Yes, that is actually right. It’s not a commercial name, it’s generic name. So that is like Donepezil or whatever name…
Tom Bishop: Because you will get the pick the name of your drug down the road.
Christopher Missling: That’s right. And the name is consist of a neutral front parts, which is the first part. And the end part is demonstrating Sigma-1 receptor agonists. So the magazine part is depicting it’s a consistent with Sigma-1 receptor and the blarca is an independent neutral. What was picked by the adopted name council of the U.S., that’s how this name was picked, when it comes to the naming of the commercial name, this will be in our court to find a name and we are working with specialists on deciding what names to pick for commercial name?
Operator: We’ve received a question from Anna Vorobyeva from ROTH Capital. Please go ahead.
Anna Vorobyeva: Hi, Christopher. I hope my line is now open. Yes. Hello.
Operator: We can hear you.
Anna Vorobyeva: Okay, great. Thank you. I have a two-fold question on Rett syndrome. Question number one is really related to whether or not we might see any data come out from the extension patients. Do you think that’ll be part of the release for the U.S. study at least? And maybe we can get through that first. Thank you.
Christopher Missling: What it was the question? Sorry, I couldn’t hear exactly the first word.
Anna Vorobyeva: Sure. I guess we want to know whether or not any of the U.S. Rett study syndrome patients, will we get any data from that one the Rett syndrome study reads out year end at least for the U.S. one?
Christopher Missling: Yes. So we pointed out that we are looking forward to providing updates on the studies by year end and that could be readout.
Anna Vorobyeva: Okay. Thank you. And my other question really also surrounds the Rett syndrome study. And here I just wanted to know whether or not some of the data will be sort of really, really granular in terms of understanding efficacy and safety for the various age groups. So thank you.
Christopher Missling: Sorry, what was exactly the question on that, please?
Anna Vorobyeva: Whether or not the data, when it does readout for the Rett syndrome study in terms of how granular will it be, will we see the data come out will be evaluated by age? So thinking about each segments, I know that the patients are there’s a really wide range of age in terms of that the enrollment, I wanted to know whether or not that data will be segmented once it does readout.
Christopher Missling: We don’t know yet how this will be provided. But we know that from the practicality the patients are 18 and older. And I think we are in a range from 18 to 45 years old. But the practicality is most of the patients are closer to the 18 year age group range. So it will actually not that – will not likely be that diverse.
Anna Vorobyeva: Okay. Thank you so much.
Christopher Missling: You’re welcome.
Operator: I will like to turn the call back to Dr. Missling.
Christopher Missling: Thank you all for participating in today’s conference call. I hope that based on this drive development today, looking forward to the rest of 2019 as much as we are. Should you need additional information or have any questions, please visit our website on anavex.com or call or email us. This concludes our remarks for today. Operator, please.
Operator: Ladies and gentlemen, this concludes our call today. You may now disconnect.